Operator: Welcome to Workday’s First Quarter Earnings Call. At this time all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. With that I will hand the call over to Mike Haase. Please proceed.
Mike Haase - VP Finance, Treasurer and Investor Relations: Welcome to Workday’s first quarter fiscal 2014 earnings conference call. On the call we have Aneel Bhusri, our Chairman and Co-CEO and Mark Peek, our CFO. Following their prepared remarks we will take questions. Our press release was issued after close of market and is posted on our website where this call is being simultaneously webcast. Statements made on this call include forward-looking statements such as those with the words will, believe, expect, anticipate and similar phrases that denote future expectation or intent regarding our financial results, applications, customer demand, operations and other matters. These statements are subject to risks, uncertainties and assumptions. Please refer to the press release and the risk factors in documents filed with the Securities and Exchange Commission, including our annual report on Form 10-K for information on risks and uncertainties that may cause actual results to differ materially from those set forth in such statements. In addition, during today’s call we will discuss non-GAAP financial measures. These non-GAAP financial measures which are used as measures of Workday’s performance should be considered in addition to, not as a substitute for or an isolation from GAAP results. Our non-GAAP measures exclude the effect on our GAAP results of stock-based compensation and for the fiscal first quarter of 2014 also exclude employer payroll taxes on employee stock transactions. You can find additional disclosures regarding these non-GAAP measures including reconciliations with comparable GAAP results in our earnings press release and on the Investor Relations page of our website. Also the customers’ page of our website includes a list of selected customers and is updated at the beginning of each month. The webcast replay of this call will be available for the next 45 days on our company website under the Investor Relations link. Our second quarter quiet period begins at the close of business July 17, 2013. Finally, unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of our fiscal 2013. With that let me hand it over to Aneel.
Aneel Bhusri - Chairman and Co-Chief Executive Officer: Thanks Mike. I’ll spend a few minutes covering some of the key highlights for Q1 and then turn over to Mark for a discussion of our Q1 results and forward guidance. The management team was very pleased with the Q1 results as our business continue to do well across all of our key initiatives. During the first quarter Workday added significant customers across our major geographies and industries including Bristol-Myers Squibb and Levi Strauss for Human Capital Management and University of Miami for the full suite of Workday applications. More importantly we continue to outpace successful customer deployments. Recent go-lives included London Stock Exchange, Cornell University and Johnson & Johnson. We ended the quarter with more than 450 customers of which more than 290 are live on Workday applications. In April, all customers moved to Workday 19 the first update of fiscal year 2014. With this update customers gained their ability to tailor the Workday experience for their unique business environments, also with Workday 19 customers receive the ability to manage intangible assets and users can now benefit from new levels of insights into headcount planning. In total Workday 19 includes more than 170 new features many of which come through Workday Brainstorm a form that captures and shares customer ideas based on popular vote. Lastly, we continued our heavy investment in mobile technologies. To augment our historical support of iOS and HTML5 mobile platforms. We recently delivered Workday for Android, a native Android app which is now available in Google Play. In April our employees voted us to the top of the local best places to work list for the large company’s category. This is the sixth consecutive year Workday has been ranked on this list published annually by the San Francisco Business Times and the Silicon Valley/San Jose Business Journal. We continue to hire the best and brightest and ended Q1 with approximately 1950 employees. And lastly I wanted to cover three major development efforts, Big Fin, Big Data Analytics, and Recruiting. Big Fin a project to bring our financial applications to the Global Fortune 2000 market is progressing on schedule with major improvements in scalability and functionality coming each update. As it relates to Big Data Analytics we signed our first wave of customers this past quarter and continue to be on track for general availability in the second half of 2013. And our other new product initiative Workday Recruiting continues to be a strong interest to our customers and it remains on track for the first half of 2014 delivery. Well that’s it from me. We’ll now turn it over to Mark.
Mark Peek - Chief Financial Officer: Thank you, Aneel. We started fiscal 2014 with a very solid first quarter generating record revenues and positive operating cash flows and positive free cash flows. Our business model continues to prove itself from a cash flows perspective that we continue to make progress on our non-GAAP operating margin, although this is clearly a secondary objective to growth and new customer acquisition. Fundamental to our business model is the belief that once we win a customer we keep the customer for years beyond the initial subscription period. This is driven by a combination of the importance of the applications to our customer’s business, our frequent updates with meaningful features, functionality and improved ease of use and of course very high customer satisfaction. Our balance sheet remains strong including over $300 million of unearned revenue and over $800 million of cash and marketable securities. We are pleased with our first quarter accomplishments and want to thank our employees, our partners and our customers. Now I’ll walk you through the financial details of our first quarter. Total revenues for the first quarter were $91.6 million, an increase of 61% from a year ago. The vast majority of our sales are currently in U.S. dollars so the impact of exchange rates is minimal. Subscription revenues for our cloud applications were $68.4 million up 85% from last year. As subscription revenues are recognized ratably our revenue growth represents the services we have provided to our more than 450 customers. As we mentioned last quarter and in our S1, Q1 was a difficult comparable for us as last year we recognized $2.6 million in subscription revenue plus $2 million of professional services revenue related to the expiration of delivery obligation for a 2009 customer arrangement. Normalizing the current quarter results total revenue growth was 75% and subscription revenue growth was 99%. The weighted average duration of contracts signed in our first quarter was just over three years. As a reminder we focus our selling efforts on and have a preference for three year terms on contracts. We believe we’ll have a very high renewal rates and that the economics of shorter term contracts are better for us in the long run. We’re very pleased to see solid demand in the U.S. and internationally. Our services revenue was $23.2 million, an increase of 17% compared to last year and up 30% normalized for Q1. Our primary objective with our services business is to maximize customer satisfaction and is therefore not a primary revenue growth driver. As a reminder Workday’s strategy is to rely on Systems Integrator partners for the bulk of our customer deployments and we continue to be pleased with the adoption from our partner-led deployments. Total unearned revenue at quarter end was $301 million up 41% from a year ago. Over 90% of our unearned revenue was from subscription fees. Short term unearned revenue was $224 million, an increase of 13% sequentially and 74% from last year. Long-term unearned revenue was $77 million down 11% sequentially and down 9% from last year. As we’ve discussed in the past as our balance sheet strengthened during fiscal 2013 we changed our sales compensation structure to deemphasize multiple year upfront cash collection to finance the business. So the percentage of the contract build upfront is comparably less than in prior periods. This change negatively impacts the comparisons to our unearned revenue, calculated billings and cash flows but in the long-term we believe it improves the economics of our business. Looking ahead to the second quarter and our fiscal 2014 we’re mindful about the challenging macro-economic environment and the muted expectations for IT spending. However the strength of our business model and continued momentum provide very good revenue visibility and we expect a solid second quarter. Total revenues for the second quarter are expected to be within a range of $97 million to $101 million or growth of 55% to 61% as compared to the prior year. Subscription revenue is anticipated to be within a range of $74 million to $76 million reflecting year-over-year growth of 75% to 80%. We anticipate total fiscal 2014 revenues were approximately $425 million to $440 million or growth of approximately 55% to 61%. The guidance assumes professional services revenue of approximately $100 million to $105 million for the year. As imperfect to measure as it is calculated billings are used by many in the investment community to gauge the health of the business. I won’t provide color on billings every quarter but to help you calibrate we don’t expect annual calculated billings to exceed $530 million in fiscal 2014. We anticipate Q2 billings to increase sequentially from Q1 and in fact to be slightly ahead of last Q4’s calculated billings. We also expect a sequential increase in Q3 and a more significant seasonal increase in Q4. Let’s spend a few minutes on operating expenses and our results of operations. Unless otherwise notes all references to our expenses and operating results on a non-GAAP basis which are reconciled in the press release tables and posted on our IR website. Our total headcount was approximately 1950 people at the end of the first quarter. For 2014 we continue to anticipate adding more people than we did last year as we build out our global market expansion efforts and product development team. About two-thirds of our total expenses are employee-related. Our first quarter gross margin was 61.1% up slightly from the fourth quarter driven by our mix of subscription revenues growing faster than professional services. We don’t anticipate further improvements in our gross margin over the next year. Although the mix shift between subscription and services will continue we anticipate lower professional services margins as we invest in programs to ensure ongoing customer success post deployment. The first quarter subscription gross margin was 78.6% and includes the cost related to providing our cloud applications, compensation and related expenses for the operation staff and datacenter networking and depreciation. The subscription gross margin was down slightly sequentially due largely to the provisioning of incremental co-location datacenter capacity including rent expense and supplies as we prepare for growing customer demand. Our first quarter operating loss measured on a non-GAAP basis was $24.5 million or a negative 27%. This was better than we had anticipated and largely the result of the operating leverage received on increased revenue. Long-term profitability and cash flow generation are important goals but we believe that our focus today needs to be on market expansion, continued product innovation and growth. Research and development expense in the first quarter was $34.1 million up 18% sequentially and up 67% from a year ago. We continue to invest in our product development as we strengthen and extend our suite of applications particularly in financial management. Our HR and financial management applications are enterprise systems of record at the core of our customer’s business. We’re building solutions for large complex global enterprises and we believe continued investment in our application will be a key driver of future growth. Sales and marketing expense was $37.2 million up 5% sequentially and up 52% from last year. We plan to make significant investments over the next several years to leverage our global market expansion efforts. General and administrative expense was $9.1 million down 10% sequentially and up 64% year-over-year. This sequential decline was due largely to year end corporate expenses including expenses associated with operating as a public company which impacted our fourth quarter. The net loss per share was $0.15 on 168 million weighted average shares. Given our net loss all outstanding stock options and common stock equivalents were anti-dilutive and not included in the loss per share calculation. The IPO lockup expired on April 10th which was a major anticipated event internally and it seems in the market as well. After the lockup approximately 4.6 million employee stock options were exercised and are not included in our weighted average share count. We did see employees and pre-IPO investors convert their Class B shares to Class A shares but they did not necessarily sell those shares into the market. In addition to the 4.6 million options exercised Flextronics exercised its warrant of approximately 1.35 million shares. Taking into account our adjustments to GAAP operating income that Mike referenced at the start of the call we currently expect our fiscal second quarter non-GAAP operating margin to be within a range of a negative 28% to 32% of total revenue and for the year to be approximately a negative 25% to 30%. The GAAP operating margin for the fiscal second quarter is expected to be 10 to 11 percentage points lower than the non-GAAP margin and the full year 2014 GAAP operating margin is expected to be approximately 13 to 15 percentage points lower than the non-GAAP operating margin. Now on to our balance sheet and statements of cash flows. Cash and short term investments at quarter end were $806 million up $15 million from year end. Operating cash flows were $17.3 million for the first quarter and $15.8 million for the trailing 12 months. This quarter operating cash flows benefited from nearly $17 million of taxes and other remittances relating to stock option exercises in April. Most of these were related to employee stock sales outside the U.S. and we don’t expect this to repeat at these levels in future quarters. Adjusting for this first quarter operating cash flows were approximately breakeven and for the trailing 12 months slightly negative. These items reverse in our second quarter and will be a negative to Q2 cash flows. Free cash flows for the first quarter were a positive $15.3 million and for the trailing 12 months a negative $18.4 million. Likewise after adjusting for taxes related to stock option exercises in April free cash flows for the quarter would have been closer to breakeven and a larger negative for the trailing 12 months. We think looking at cash flows on a trailing 12 month basis is a better indicator of progress than quarterly results as cash flows can be volatile quarter-to-quarter. As a reminder when calculating free cash flows we conservatively subtract the gross value of all equipment even when acquired under capital leases so we can evaluate our progress on free cash flows independent of our capital financing decisions. Through the balance of the year we anticipate quarterly capital expenditures to increase significantly from the first quarter level and expect total CapEx of approximately $80 million for fiscal 2014. To summarize we’re very pleased with our solid first quarter. Looking ahead we’re investing for the long-term and see a very large opportunity in front of us. You should expect us to continue making significant investments in our product development and global market expansion to maximize our long-term growth opportunities. With that let’s begin the Q&A process.
Mike Haase - VP Finance, Treasurer and Investor Relations: Before we take the first question I also wanted to call to your attention that we issued a correction about 40 minutes ago or so to our earnings release. The correction was to a calculation in the guidance quote. With that let’s take the first question.
Operator: (Operator Instructions) And our first question comes from the line of Heather Bellini with Goldman Sachs. Please proceed.
Heather Bellini - Goldman Sachs: Great. Thank you, Aneel and Mark. I just wanted to know I guess Aneel really interested in the new product offerings that you’ve been mentioning BI, recruiting and obviously everyone is focused on financials. I was just wondering if you could kind of rank order for us the impact that you think these new offerings will have on your deferred growth if you would have just look out over the next one to two years instead of kind of looking out longer than that I mean is it possible that BI and recruiting could actually be a bigger ramp faster than we could see financials ramp? Thank you.
Aneel Bhusri: Thanks, Heather. In terms of deferred I probably defer that to Mark. In terms of size of market the financials market towards the recruiting market and the Big Data Analytics market and our product is getting better every update and the pipeline is getting bigger every quarter. So I would still suspect it especially if you look it over a two year time horizon that financials is the much bigger of those three product areas.
Heather Bellini - Goldman Sachs: But would you think that for BI and recruiting you could actually have shorter sales cycles than financials?
Aneel Bhusri: BI is still it’s so new in terms of not just our offering but also in terms of customer’s understanding what Big Data means them, that one is, that one is harder to predict. I think on the recruiting front yeah I think those will be fairly short sales cycles. We have, we ask for eight design partners then we had something like 65 customers asked to be design partners. So there is a lot of pent-up demand for that product and I suspect that would get very quick take up through our installed base.
Heather Bellini - Goldman Sachs: Okay, great. Thank you.
Operator: Your next question comes from the line of John DiFucci with JPMorgan. Please proceed.
John DiFucci - JPMorgan: Thank you. Question for Aneel and Mark I think it has to do with financials. I think last quarter you said you had 50 customers with 18 live. Can you update those numbers for us? And also like how many of those are public companies I’m curious because I would guess anyway that there are more onerous financial controls required of public companies might be a gauge to sort of see how the applications are progressing?
Aneel Bhusri: We’re not going to update that number on a regular basis that 50 was a milestone that we hit the 50. We might update it again at the end of the year. In terms of public companies, yeah we do have a handful of public companies - more than handful of public companies live on financials but not just have selected but actually live on the product.
John DiFucci - JPMorgan: Okay, okay. Great. And Mark if I had a question on sales and marketing expense it was 41% of revenue I think which is below what we were looking for in (indiscernible). And I just curious as to what we are seeing there is it just leverage as you grow or was hiring little below you anticipated this quarter is there something in that number, we should be thinking about?
Mark Peek: Well I think the John the main, the main thing is we’re getting leverage since we have - we now have 450 customers in which we’re recognizing subscription revenues. And we also were down seasonally on calculated billings as we called out in the fourth quarter that Q1 will be down seasonally so it’s a combination of the two.
John DiFucci - JPMorgan: Okay, okay. Great. Actually when I look at calculated billings, when I look at annualized billings the growth rate there actually was about what it was last quarter actually little bit better so I mean that something we do but anyway it looked pretty good to us anyway thanks a lot.
Operator: Your next question comes from the line of Jennifer Lowe with Morgan Stanley. Please proceed.
Jennifer Lowe - Morgan Stanley: Thank you. Mark, when you gave the guidance you made a comment just that you are cognizant of the macro certainly you just put up a fairly strong quarter but are you seeing any impacts on your business from forward spending cycles or budgets or anything like that?
Mark Peek: I think particularly in Europe as we, as we go through our sales cycles and we have long sales cycles. We’re selling enterprise applications and so these cycles can last numbers of quarters and years. And there is always caution, when the overall economy is cautious and we’re seeing some in Europe.
Jennifer Lowe - Morgan Stanley: Great. And then maybe just one for Aneel on the Workday nine rollout one of the new features that you flagged with versus capability to do more customization work. What’s the feedback been like from your customers at this point I know it’s early but are you finding that they are taking advantage of that capability and its being - it’s generating a lot of interest or is it still too early to tell?
Aneel Bhusri: This has been a common request over the last couple of years. So, again I think there was lot of demand for this feature. We actually rolled it out last fall and in a test way with our customers and there was great reception and now people are putting it into production. So, it’s been very positive and the type of feedback we have gotten. And I would expect that over time we just bring that customization capability for lack of a better term through boarder set of business objects.
Jennifer Lowe - Morgan Stanley: Great. Thank you.
Operator: Your next question comes from the line of Jason Maynard with Wells Fargo. Please proceed.
Jason Maynard - Wells Fargo: Hi, guys. I had two questions. So, first question I’m curious just on the - on some of the customer wins that you announced what were the application portfolio as they were running previously maybe talk a little bit about it if you are seeing any change in terms of if you will the source of where your new logos are coming from? And then I have a follow-up on that thing?
Aneel Bhusri: The primary sources are the two legacy vendors SAP and Oracle and that really hasn’t changed and I don’t think that will change. One we - we did not mention on the call, which was clearly a big win for us in Europe was Phillips. We certainly landed that account as well. So, all of these large multinationals are typically running SAP, PeopleSoft, Oracle sometimes they are running :Lawson but that’s generally, that’s generally the small fraction of the marketplace and that dynamic hasn’t changed for the better part of three or four years.
Jason Maynard - Wells Fargo: And then the follow-up I had on the financials, you talked a little bit about it but if you have to sort of look now 90 days later from last quarter, where would you still tag the financial application relative to say the maturity of the HR applications?
Aneel Bhusri: That’s a hard. The HR applications are not a static target. They are moving very rapidly. I would tag financials probably at 80% to 85% on a functional comparison to legacy systems that‘s the targets they are not moving at all those are fairly static targets. And the big investment on scalability is continuing to happen and we’re seeing the benefits of that and I feel like we’re going to go into next year with a very competitive set of financial products that they are competitive today they get more competitive over the next 12 to 15 months pretty much exactly what I said during the IPO road show nothing has really changed.. We are on track. If there is an area to highlight, the first area, where we made investments in financials from a industry specific area has been in the higher ed market and not surprisingly as a result, we won a lot of name brand higher ed institutions, who are either going live in our financials or purchased our financials and that list includes places like Brown and Yale and those are effectively the top tier institutions that are choosing our financial. So, it’s a clear takeaway that as we mature the product and we had industry specific capabilities it opens up those markets. It’s been a great; it’s been a great test bed for us from that perspective.
Jason Maynard - Wells Fargo: Great. And then maybe I squeeze one more on recruiting just as you start to really work with your design partners are you looking at this is U.S. first or are you going to or is your plan to maybe is to make recruiting a global addition for the entire base as you roll out it. How you are thinking about this one?
Aneel Bhusri: It will be a global product. In GA, it will be a global product. In the early - in the early releases the pre-GA version, we might be more focused on U.S. use cases. But as part of the general availability everything we build from that perspective on the HR side is built to be global other than payrolls, which by definition are local.
Jason Maynard - Wells Fargo: Got you. Fantastic. I appreciate it. Thank you guys.
Operator: Your next question comes from the line of Brendan Barnicle with Pacific Crest Securities. Please proceed.
Brendan Barnicle - Pacific Crest Securities: Thanks so much guys. During this quarter, we saw some company success and had some issues with implementation. They didn’t have quite enough implementation of (partner) and that slowed down some business in some cases at least on the implementation side. How do you guys feel about your scale on the partner side and whether you got enough folks and can you ramp that quickly enough for the growing demand?
Aneel Bhusri: At this point, we feel pretty good about where we are. It is definitely something we monitor on a regular basis. I think we’ve had some very positive developments in the last six to nine months. Historically we’ve had a series of boutique setup and that have been investing in Workday practices then we had Accenture and Deloitte and recently we had IBM and PWC and Hewitt and Towers all and actually Towers was early all of them are beginning to invest. So, now we’ve seen a step up from the big SI firms along with the boutiques and so I see a lot of skills coming on line in the next - in the next six to nine months.
Mark Peek: And one of the ways to look at that is that if you look at our own professional services it’s something that’s growing at a slower rate normalized 30% growth this quarter and we didn’t change our guide on professional services for the year. So, we feel like our ecosystem is being built out as we planned at the beginning of the year.
Brendan Barnicle - Pacific Crest Securities: Great. And then Aneel just following up on recruiting as you go to market do you anticipate any difference in the way you go to market with that product where you have a dedicated sales force or change any of the quota patterns around that when it comes into market?
Aneel Bhusri: In terms of a dedicated sales force I doubt it. We’ll definitely have presales folks that are, that are very well-versed on the new product. In terms of taking it to market, we’re trying to match overtime the best degree of capabilities of the point solutions but offer the integration of all of the pieces coming from one vendor and a very typical use case in a slow job growth environment. Many companies are looking to recruit some internal candidates as well as external candidates and the point solutions don’t have visibility into that internal pool data base. And in the case of Workday since the recruiting system is tied into the core HR system its one of the same and you can evaluate internal and external candidates together, that’s a huge thing that really hasn’t been available on the market before. So, there are going to be areas like that from a product perspective that we’ll be in the first in the marketplace that will make it a very differentiated product offering. I suspect that we have a lot of sales people from some of the point solution vendors of the past. I suspect a lot of our existing customers are just going to sign up as soon as the products are available.
Brendan Barnicle - Pacific Crest Securities: Terrific. Thanks, guys.
Operator: Your next question comes from the line of Richard Davis with Canaccord. Please proceed.
Richard Davis - Canaccord: Hey, thanks. Just a quick drilldown on to – I think you’re exactly the payroll is at least regional but to put together kind of a multinational platform, is this – is that more about pounding out a bunch of kind of workflow rules or and then therefore this is simply just takes time or is there something that I’m missing that will make it harder to become a multinational, I know you can do it regionally and stuff like that. When you think about that effort, maybe you could help me think that through.
Aneel Bhusri: Payrolls are very, very local they’re not just they’re tied to things like union rules in the German and French markets things like worker councils, taxation is different – taxation is different across the 50 states. So the way that the payroll market has evolved historically has been on country payroll solutions that we have – we today have a U.S. solution, we have a Canadian solution. Over time you can see us add a few other solutions and in other markets we’ll tend to partner and we could partner with Ceridian we could partner with an ADP. Most of our customers will choose these vendors for market in markets where their employee populations are less than 5000 they’re going to choose an outsource solution anyways so we tend to partner in some of the markets that we’re not building local payrolls for them. But I would expect over the next three to five years you’ll see our portfolio of local payroll products grow over time but it will never be 100 it might be 10 to 15 over time but even that is a guess at this point.
Richard Davis - Canaccord: Great. Thank you very much. That’s helpful.
Operator: Your next question comes from the line of Peter Goldmacher with Cowen & Co. Please proceed.
Peter Goldmacher - Cowen & Co: Thanks. Hey guys can you talk a little bit about what Oracle and SAP are doing to compete. How they’re trying to keep you guys out of their accounts?
Aneel Bhusri: Yeah, really nothing has changed, very aggressive pricing that’s really the number one – that’s really the number one tactic and I’d say the second piece is give us time to build the cloud product and that’s probably more in the case of SAP with success factors, give us time to build success factors and to record system of record.
Peter Goldmacher - Cowen & Co: So, when – I’m sorry.
Aneel Bhusri: But those tactics have been the same ones for the last 15 months and some of those acquisitions happened.
Peter Goldmacher - Cowen & Co: So, when – can you give us a sense of what’s happening with your win rates? Are people getting - losing patience with those guys?
Aneel Bhusri: Well we don’t comment on win rates I would just – I would just look at our growth rate and you can get a sense of how well we’re doing. The world’s moving to the cloud, there is no question about it.
Peter Goldmacher - Cowen & Co: I heard about that, yeah.
Aneel Bhusri: In many but for a number of years the legacy vendors fought it. So now everyone is saying their future is the cloud and yet we are one vendor we’re the youngest vendor but we have the most matured solution. And every year that goes by there is more companies that are on a legacy platform that are just out of time on either maintenance or have to do a forced upgrade. So the market just keeps growing for us.
Peter Goldmacher - Cowen & Co: Okay. Thank you.
Operator: Your next question comes from the line of Pat Walravens with JMP Securities. Please proceed.
Pat Walravens - JMP Securities: Great. Thank you. So, Aneel, as we look out three to five years, what percentage of revenue would you like to see coming from financials. How should we think about that?
Aneel Bhusri: Three to five years, I’m going to defer that to Mark.
Mark Peek: Yeah, Pat, it’s an interesting question because on the one hand we think there is an awful lot of opportunity left in HR. When you look at our total TAM and as we think about potential customers having employees of a 1000 or more that’s a big population it’s over 10,000 companies in the U.S. alone and we have 450 customers. And so my hope is that financials grows at triple digit rates but at the same time HR is growing continuing to grow so much that it still isn’t as significant as HR and that the crossover point will be later in time.
Aneel Bhusri: And I think the – trying to clarify that revenues is harder than maybe bookings given the lag effect of revenues, I would hope in five years that the financial product line is approaching HR in terms of new bookings that there will be reasonable target and that market is three times a size of the HR market. We went to the same phenomenon at Peoplesoft, and at some point along the way financials took over from HR as the main product lines.
Pat Walravens - JMP Securities: Great, that’s helpful. Thank you.
Operator: The next question comes from the line of Brent Thill with UBS. Please proceed.
Brent Thill - UBS: Thanks. Good afternoon. Aneel, you mentioned higher-ed in - given the success you had at Peoplesoft, are you seeing customers come to an end of life? Are they just ready to move on? Can you just give us a sense of what you are seeing in that market and maybe contrasted from the commercial sector and what you are seeing in your pipelines?
Aneel Bhusri: I think the higher ed market faces the same issues as the commercial marketplace, they’re running PeopleSoft, SAP, Oracle for their legacy HR and accounting systems. I’d say there is probably a higher propensity that they’re running or higher percentage chance of running PeopleSoft and at this particular market my co-founder Davis is very well known and he is very well known across markets but he started in higher-ed. So we go into a very friendly environment in the higher-ed marketplace. And given the requirements that you have to add to the products for higher-ed whether it’s grants or endowment support or encumbrance accounting, that stuff is an investment that we’ve made that no other cloud vendor has made so we have a unique advantage there from the product side.
Brent Thill - UBS: Okay. Great. And just a quick follow-up for Mark, I know you don't talk about average selling prices, but can you just give us a sense of what you are seeing on the initial commitments this quarter versus what you saw, maybe at the beginning of last year? And just help us at a high level kind of shape of what you’re seeing?
Mark Peek: Well, one of the trends that we’d continue to see is that the initial contracts are coming closer to the three years than they had been historically a year - even a year or so ago we were closer to four years than to three years on the initial contract value. And we continue to see a blend of a very large accounts such as Phillips, Levis, but also mixed with middle market accounts and an uptake and a lot of confidence in smaller companies than the Fortune 200 that are implementing Workday. So it’s really been a blend.
Brent Thill - UBS: Thanks.
Operator: Your next question comes from the line of Walter Pritchard with Citigroup. Please proceed.
Robert Chen - Citigroup: Thanks. This is Robert Chen for Walter. My first question is about the mid market. I think last quarter you talked about pretty significant traction driving some strength in Q4 there. Are you seeing that strength in the mid market continue this quarter?
Aneel Bhusri: We did and we had actually several ultimate replacements that at some point we’ll be able to announce when we get the okay from customers so we’re seeing strength not just in legacy replacement but also other cloud solution replacements.
Robert Chen - Citigroup: Great. And then secondly on the Big Data product, could you give us some background on what the use cases are there and where you expect to build your pipeline, in terms of end-user solution there?
Aneel Bhusri: I would think about the big data products really as the next generation of data warehouses a place where you can take a whole bunch of data from your corporate systems from third-party systems from data outside your enterprise and effectively dumping into a warehouse so then analyze against it. We’re able to take advantage of some of the modern technologies that are out there counter databases platforms like you do put it in the cloud and deliver a much easier to deploy, easier to use solution at a fraction of the cost of legacy systems. So what you will see over time is that we’ll continue in the same way that we’ve taken a bite out of the HR market you’ll start seeing us take bites out of the enterprise data warehouse market with this offering. It’s soon the earlier days but that’s the course it will take.
Robert Chen - Citigroup: Okay. Thank you.
Aneel Bhusri: Operator, we’re going to take two more questions please.
Operator: Your next question comes from the line of Ross McMillan with Jefferies. Please proceed.
Ross McMillan - Jefferies: Thanks a lot. Aneel, you mentioned your own target for both functionality and scalability on the financials, I’m just curious about the later comment on scalability. Can you just talk to that and maybe contrast what you have to do to get financials to scale relative to the HR solution. And then I have one follow-up.
Aneel Bhusri: Well, just by the nature of products if you think about HR, HR is primarily a record-keeping app with workflow but it’s not a high volume transactions processing application you then move into payroll which is batch processing and then you move into financials which is through online transaction processing. And so much like we did at Peoplesoft, we hand to continue to invest in the technology to take on these different solutions and the characteristics of these different solutions. In the case of our financials we came to conclusion that the scale to the Fortune 500 type requirements in areas like payables, receivables, ledger posting that we needed this capability called the AOD which is effectively a fast way of running transactions of pre-summarizing data and running transactions. And we built that technology and now we’re basically selling that into different parts of the application to reach scale. We would need that technology in the HR world, we would need that technology in the payroll world those are different actually different computer science problems and again this is sort of came to PeopleSoft going from a two-tier to three-tier architecture when we move from being an HR company to an HR financial company, HR and financials company it just puts more processing requirements on it. We’ve been on this project now for a year and in another year we’ll pretty much covered the basis of where we need to touch these financial products from a scalability perspective.
Ross McMillan - Jefferies: That’s very helpful. And then just a follow-up for Mark, you gave us some helpful color on your thoughts around deferred revenues this year. Just on the long-term deferred is that going to continue to scale down sequentially as we go through this year. Should we expect to see long-term deferred decline sequentially each incremental quarter? Thanks.
Mark Peek: Yes, the element along long term deferred is the fact that we’re doing closer to one year of cash – billing and collection upfront, what was driving long-term deferred is when we had multiple years of billing and collection and so as we move closer to one year which was the pattern that we experienced again in this quarter. As there will be a crossover point which is at least a couple of quarters out whether it should be some stability around it but for the time being I think you should just expect a longer term defer to continue to decline sequentially.
Ross McMillan - Jefferies: Thanks a lot.
Operator: Our last question comes from the line of Brian Schwartz with Oppenheimer. Please proceed.
Brian Schwartz - Oppenheimer: Yes, hi. Thanks for taking my question. Just one here for Aneel from a high-level, I was wondering if you could share some color on trends that you are seeing around the tax rates. As you see in the press release, you mentioned that you bought the full suite of apps. When you look at your pipeline and compare it to say 6 to 12 months ago, are you seeing any shifts towards prospects starting out with multiple products, or a full suite, as opposed to a single application and then adding on in the future? Thanks.
Aneel Bhusri: We don’t have many SKUs to begin with, we have taken a different path than some of the legacy vendors where I think they tend to nickel and dime the customers. So our core HR application covers talent and HR and benefits as part of one app that’s historically the place people start to payroll tax rate continues to be very healthy we haven’t talked about percentages but I think it’s ends up being around half historically I don’t know what it was this past quarter there is nothing is – nothing really changed. I’d say the only thing that changed from a tax rate is increased interest in financials and I hope that manifest itself in bookings over the upcoming quarters and years.
Brian Schwartz – Oppenheimer: And then, if I could just squeeze one in for Mark, here. Just on the revenue guidance here for the year, you did mention the Big Data Analytics products on track to be a GA in the second half of the year. Just wondering if your current annual guidance assumes any revenue contribution from this product cycle, or we should think about that more as a next year revenue. Thanks.
Mark Peek: Well, when you think about the dynamics of revenue recognition to the extent that there is anything for any of the new products it’s very small and so it’s out of a significant part of the model.
Brian Schwartz - Oppenheimer: Great. Thank you for taking my question.
Aneel Bhusri: Okay, thanks everyone. That wraps-up the call.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. Everyone may now disconnect. And have a great day.